Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Meta Financial Group Third Quarter Fiscal 2018 Investor Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to Brittany Elsasser, Director of Investor Relations. Please go ahead.
Brittany Elsasser: Thank you, and welcome to Meta’s conference call and webcast to discuss our financial results for the fiscal third quarter ended June 30, 2018, released earlier this afternoon. Additional information, including the earnings release and investor presentation, may be found on our website at metafinancialgroup.com. Company Chairman and CEO, J. Tyler Haahr; President, Brad Hanson; Executive Vice President and CFO, Glen Herrick; as well as Mick Goik, the President of Crestmark will be sharing some prepared remarks today before we open up the call for questions. Today's call may contain forward-looking statements, including statements related to Meta and its operating subsidiaries, which may generally be identified as describing the company's future plans, objectives or goals. We caution you not to place undue reliance on these forward-looking statements, which are subject to risks and uncertainties that could cause actual results or outcomes to differ materially from those currently anticipated or that we otherwise discuss today. These forward-looking statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. For further information about the factors that could affect Meta's future results, please see the company's most recent annual and quarterly reports filed on forms 10-K and 10-Q and its other filings with the Securities and Exchange Commission. Forward-looking statements speak only as of the date on which they are made. Meta expressly disclaims any intent or obligation to update any forward-looking statements on behalf of the company or its subsidiaries, whether as a result of new information, changed circumstances, future events or for any other reason. At this time, I would like to turn the call over to CEO, Tyler Haahr.
J. Tyler Haahr: Thank you, Brittany and thank you to everyone joining us on today’s earnings call. We are very pleased with the continued success on Meta’s highly differentiated and diversified financial services model. As our teams work to expand their business, implement innovative program for our partners and maintain rigorous discipline around risk management and underwrite. These efforts paid off in the third quarter. Meta grew total loans, deposits, net interest income, non-interest income and revenue to new third quarter record levels. Compared to the same quarter last year, Meta grew gross loans by 31%, net interest income by 14%, non-interest income by 8% and total revenue by more than 10%. We reported GAAP earnings of $6.8 million, or $0.70 per diluted share despite several meaningful charges that Glen will elaborate on further in his prepared remarks. The third quarter earnings also reflect investments to support the continued growth of Meta. We recognize the need to balance these investments with appropriate management of non-interest expense. As we've said since earlier this year, we expect opportunities for accelerating operating leverage in fiscal 2019 and even more so in fiscal 2020. As our teams continue to execute our organic growth strategy during the fiscal third quarter we also made great progress toward closing the acquisition of national commercial lender, Crestmark Bancorp. During the fiscal third quarter we obtained all necessary shareholder and bank regulatory approvals and expect to close the transaction on August 1, 2018. We expect the strategic and transformational deal will provide Meta with access to Crestmark’s National Commercial Lending platform, while offering complimentary cross selling opportunities for our existing commercial insurance premium finance division. We believe this deal will also provide further flexibility when it comes to managing the combined company's balance sheet, given that Crestmark has historically been fully funded by wholesale deposits and its loans are highly saleable. With the transaction expected to close next week the Meta and Crestmark teams continue to work efficiently and effectively to gather to prepare for a seamless integration. I've been extremely pleased with how the integration efforts have progressed, as well as with the strong pipeline of opportunities we see in Crestmark’s various loan categories. Upon closing one of the many outstanding Crestmark team members joining us will be Mick Goik. Mick has more than 25 years of banking and mining experience and rose through the ranks at Crestmark through underwriting, credit, new business and new product development. He also served as Crestmark’s Chief Financial Officer for four years before assuming his current role as Crestmark’s President and Chief Operating Officer in 2012. Since we first met Mick in over the last seven months in particular, his detailed understanding of Crestmark’s National Commercial Lending business, people and commercial clients has impressed us greatly. After the transaction closes Mick will be an Executive Vice President of MetaBank and President of Meta’s new National Commercial Finance division and we expect that Crestmark will be the foundation of that division. We invited him to join us this afternoon in order to give you a very brief update on Crestmark as we approach next week's anticipated closing.
Mick Goik : Thank you, Tyler and good afternoon everyone. On behalf of Crestmark family we could not be more excited to be joining Meta and becoming a part of this innovative company. At Crestmark we're proud to have built a long record of very profitable growth by making it our mission to help small and medium sized businesses. For most of the entrepreneurs and operators Crestmark serves, no matter they are industry or geography their business is their life's work and our world revolves around helping them succeed. On behalf of Crestmark, we believe our business and entrepreneurial culture are a solid match for Meta’s. Crestmark’s National Commercial Lending business should immediately benefit from Meta’s significant low cost funding capabilities, access to capital, as well as its higher legal lending limits. We also believe this transaction will provide outstanding opportunities to share expertise and talent across the combined company. Crestmark provides creative and flexible working capital solutions to a myriad of businesses who sell or provide services to other businesses through a variety of products. We pride ourselves on helping organizations access the working capital they need, no matter where they are in the business lifecycle, from startups to turnarounds, to matured enterprises and everything in between, Crestmark is well positioned to help them succeed. At June 30, 2018 Crestmark’s total loans and leases grew to approximately $1.065 billion, increasing 14% from balances at December 31, 2017. Yields on the gross loan and lease portfolio for the June quarter were approximately. Sorry about that. Yields on the gross loan and lease portfolio for the June quarter were approximately 12.6%. Crestmark’s extensive offerings in asset-based lending, equipment financing, factoring and government-guaranteed lending, provide diversified businesses from which we operate. Asset-based lending provides a line of credit based on a company's eligible accounts receivable, inventory and machinery, and equipment. It offers greater availability than many other methods of financing and is a fast and cost effective way to obtain working capital. At June 30, 2018 Crestmark’s asset-based lending business had an aggregate loan balance of approximately $388 million. Crestmark also offers factoring of receivables which provides businesses with immediate cash to fund the day-to-day operations of the business. Many companies need cash flow to support seasonal demands, growth and more. As of June 30, 2018 Crestmark’s factoring business had an aggregate loan balance of approximately $318 million. Another business line Crestmark has been growing over the past three years is government-guaranteed loans, either through the SBA or USDA. This is one of the ways we have developed expertise in certain asset niches that are under-served. Crestmark is an SBA Preferred Lender and has an experienced team dedicated to providing SBA loans. As of June 30, Crestmark’s government guaranteed loans had an aggregate balance of approximately $77 million. Crestmark also provides flexible lease, financing programs for most equipment types in today's market, ranging from IT hardware, to yellow iron and everything in between. Crestmark equipment financial sales team works directly with businesses to create a fixed rate leasing solution to acquire equipment from one or multiple manufacturers. Also a part of Crestmark equipment finance, we have Crestmark vendor finance, where our sales team works with various vendors throughout the United States to provide small ticket leasing solutions to their customers. At June 30, 2018 Crestmark equipments leasing business had an aggregate balance of approximately $230 million. In addition, Crestmark provides hospital guaranteed consumer medical loans. This product offers patients flexible options to pay medical bills, while providing healthcare organizations a consumer friendly, simple way to reduce bad debt and accelerate their cash flow. At June 30, Crestmark’s patient loan business had an aggregate loan balance of approximately $52 million. Over the past five years Crestmark has also expanded into the sale leaseback structure for solar and fuel cell projects that qualify for federal investment tax credits. Since its inception in late 2013, we have completed 20 deals totaling $60 million in project financing for alternative energy. Crestmark believes there is a good opportunity to significantly grow this segment of the business. Crestmark is pleased with its performance and growth across its National Commercial Lending platform. We look forward to joining forces with Meta and are excited for the opportunities ahead of us. With that I'll turn it back to Tyler.
J. Tyler Haahr: Thank you, Mick. I'd like to add that we remain confident in the financial upside and growth opportunities of the combined companies that we laid out when the deal was originally announced. We continue to anticipate that the deal will be immediately accretive to 2018 earnings excluding merger-related expenses. Now to provide a brief update on our payment and National Commercial Lending businesses, I’ll now turn the call over to Meta's President, Brad Hanson.
Brad Hanson : Thanks Tyler. During the third fiscal quarter our team was successful in extending several third-party agreements piloting two new consumer loan programs and hiring key resources in product development and loan operations, while continuing our efforts to expand project management and software development capacity, consolidating systems and operations in our tax business and identifying key opportunities for cost savings and operational efficiencies throughout our shared services unit. Last month we announced the extension of our net relationship with Global Cash Card through 2022. As part of our relationship with this leading provider of paycard solutions, we will begin supporting widely by ADP, a brand new paycard providing innovative financial management tools, like instant pay, and digital wallet. In addition, we've negotiated extensions with two more longstanding relationships, one prepaid company and one company who uses virtual card technology to settle provider claims on behalf of health insurance companies. We are very proud of the longstanding relationships we have with our partners and are working harder than ever to expand our capabilities and provide best-in-class sponsorships support to ensure continuity of these relationships long into the future. We have announced three new National Consumer Lending programs since January of 2018, and launched two pilot programs during the fiscal third quarter, Liberty Lending and Health Credit Services, or HCS. MetaBank provide consumer launce to Liberty Lending customers to facilitate debt settlement. While loans marketed by HCS and their providers help consumers finance selective medical procedures. In addition, we've negotiated a three-year agreement with one of the nation's largest mortgage companies to originate up to $1 billion of consumer installment loans over the term of the contract. We expect this program to launch during fiscal fourth quarter. The structure of these relationships leverages the marketing, servicing, and financial strength of each party allowing MetaBank to efficiently grow our consumer loan portfolio while maintaining strict control over underwriting compliance and risk management. During the quarter, our national consumer lending platform had $27 million in originations from Liberty Lending and HCS programs. We expect to originate over $45 million in the fourth fiscal quarter from these two programs and up to a total of $2.5 billion over the next three years, including the new installment program, I mentioned earlier. We believe that MetaBank has the capacity to scale the sophisticated underwriting and decision science capabilities, the customer service resources and experience needed to create programs that address the needs of our partners and their consumers, while mitigating risk, managing compliance and generating earnings. In addition to this, we've – CURO is a leader with 20 years experience in providing short-term credit to underbanked consumers. We expect that later this quarter CURO and MetaBank will also be piloting in an innovative new line of credit product designed to allow underbanked consumers to borrow with a flexible timeline for repayment, as well as controlling borrowing costs through transparent fees. In the first three years of this program, we expect Meta to hold up to $350 million in product receivables on our balance sheet. As a reminder, new programs require start up cost, primarily in compensation, legal expenses, and loan loss provisioning during the ramp up periods. This process also includes the financial modeling of various stress scenarios and severities to ensure appropriate credit enhancements are present. Accordingly, in order to generate future higher earnings, each of the new agreements announced in fiscal 2018 is expected to require meaningful upfront investments over the first three to six months of each program. We expect the on boarding and ramp up of future programs become more efficient as our resources and capabilities continue to expand. As these programs ramp up, and additional partnerships and programs are launched, we expect a significant increase in the volume of consumer credit products over time. Given the cycles of the loan products, and the controlled manner in which we intend to grow originations, we continue to anticipate some positive earnings from these programs in fiscal 2019, and more material benefits to earnings from these programs beginning in fiscal 2020. As a rush of another successful tax season dissipates, we have turned our attention to consolidating the technology platforms, operations and customer service functions of our two tax businesses. This effort also requires investment and significant use of project management and technology resources in the third quarter of fiscal 2018 to the first quarter of 2019, but the expected resulting synergies will mean simplification, consistent processes, better service quality, more effective compliance management and lower operating costs in 2019 and beyond. Throughout the organization we are working to eliminate operating silos, increase capacity by hiring experienced management talent, consolidating our operations, increasing training and looking for appropriate outsourcing opportunities throughout the company. New management is experienced in implementing agile transformation in large companies and we have hired agile consultants to help us accelerate the process and expand our project management and software capacity. We have also significantly improved our product development capabilities by expanding talent and hiring experienced team members to help us bring valuable solutions to market. These efforts are leading to improve partner relationships and creation of new revenue opportunities for the bank. Once again, these efforts increase overhead in the short-term but we expect to see noticeable results in 2019 providing a more scalable platform to effectively manage increasing complexity, support long-term growth opportunities in the viability of our business. Now I'd like to turn the call over to Glen Herrick, our CFO to provide a brief review of our consolidated financials.
Glen Herrick: Thank you, Brad and good afternoon everyone. As you heard in previous comments we are pleased with our core operating result in the third quarter of fiscal 2018. On a GAAP basis we reported net income of $6.8 million in the third quarter, compared to $9.8 million in the prior year period. Diluted earnings per share were $0.70 in the fiscal third quarter of 2018, compared to a $1.04 in the fiscal third quarter of 2017. Reported earnings reflects a meaningful expenses recognized during the 2018 fiscal third quarter including $3 million of initial provision expense associated with the previously disclosed notice of insolvency received from ReliaMax Surety, which insured our purchase student loan portfolios, $2.4 million of merger related expenses, and an $800,000 expense related to the company's early termination of a vendor contract. In addition, GAAP earnings also included $1.7 million of amortization of intangibles assets and a $1.3 million of non-cash executive officer compensation expense. Importantly, we believe this loan provision expense is not a reflection of the underlying asset quality in that portfolio, while we expect to ultimately recover a substantial portion of honored insurance premiums. We cannot predict the timing and amounts of any such recovery, but it could easily take a year or longer and thus further provisioning may be required. Absent any recoveries we currently estimate additional provisioning of $600,000 to $750,000 in each of the next five quarters related to the insurers’ insolvency on the student loan portfolio. The expected sources of recoveries include assets from the liquidation of ReliaMax, a state guarantee fund, as well as other potential sources of recovery. Looking up the top line, revenue grew a 11% year-over-year and totaled $61.6 million for the third fiscal quarter. Net interest income was $28.4 million in the fiscal third quarter of 2018, up 14% increase over the same period last year due to an improved interest earning asset mix, primarily driven by significant loan growth. Net loans totaled $1.6 billion at June 30, 2018, an increase of 30% from a year prior. Growth was bolstered by a 31% increase in our commercial insurance premium finance portfolio and an increase of 25% in our community bank portfolio, where commercial real estate continues to be particularly strong along with increases in consumer and residential mortgage loans. The strength and discipline of our underwriting and risk management practices continues to be of utmost importance here at Meta. As such we maintain very strong asset quality metrics in our third fiscal quarter. Non-performing assets represented just 86 basis points of total assets at June 30, 2018. Outstanding NPAs were primary related to a non-performing agricultural loan relationship that we've discussed with you previously. We continue to expect to receive all principal, note interest and related expenses from that relationship. Excluding the reserve increase related to the insolvency of ReliaMax, Meta’s provision expense was $2.3 million in the third quarter of 2018, compared to $1.2 million in the third quarter of 2017, approximately $1.2 million of Meta’s third quarter provision supports the growth of tax services lending during this past filing season. Tax payer refund advance loans shall continue repayment activity throughout the calendar year, so the charge up period extends through December 31, 2018. Management views the overall 2018 tax season positively, given the loss of a significant tax partner that provided roughly half of the Company's 2017 refund advance loans. Turning to funding, we continue to view our growing low-cost core deposit base as a differentiator in the banking space, particularly in a raising rate environment. While Meta’s average cost of funds increased to 62 basis points in the fiscal third quarter, we maintained our advantage relative to the average cost of funds for similarly sized financial institutions. Our cost of deposits during the quarter was 29 basis points and just 4 basis points excluding wholesale deposits. Increased funding costs reflect Meta’s strategic utilization of wholesale deposits alongside Meta’s large, stable, non-interest bearing deposit base, compared to the same period last year to support continued organic loan growth. Meta’s net interest margin was 3.23% in the fiscal third quarter of 2018 on a tax equivalent basis. During the quarter, the Company sold longer term tax-exempt municipal securities and replaced them with floating-rate, government-related asset-backed securities. We also reduced our overall level of securities in anticipation of the Crestmark closing and accelerating growth in consumer lending. Because of this we anticipate a slight decrease in overall investment portfolio yield for the fourth quarter of fiscal 2018, but expect to benefit in the quarters to follow as short term rates are expected to continue to increase. This decrease in the overall portfolio yield, in addition to seasonal increases in the prepayment speeds of the MBS and mortgage-related municipal portfolio will likely result in a slightly lower NIM when excluding the effects of the pending Crestmark acquisition in the fourth fiscal quarter of 2018 and a slightly better relative NIM in the immediate succeeding quarters. Non-interest income also continues to grow, expanding 8% year-over-year to $33.2 million. Income from refund transfer product fees in the quarter increased 27% year-over-year in part due to payment processing timing as anticipated IRS delays flowed into April and shifted some of that revenue into our third quarter. While deposit fees grew $1.1 million compared to the third fiscal quarter of last year, the increase was primarily related to a transition of some card fee income to deposit fee income. This income statement geography change also contributed to the slight decrease in card fee income. In addition, we do expect growth in card fee income to be moderated by declining residual fee income throughout fiscal year 2018. I also wanted to comment briefly on Meta Capital LLC, our corporate venture capital arm, which we mentioned in our earnings release this quarter. This wholly owned subsidiary of MetaBank was formed in April 2017 and established to help drive innovation by investing primarily in financial and technology companies. We consider direct and indirect investments to compliment, or serve as an alternative to de novo and strategic M&A growth. Through June 30, 2018 Meta Capital has invested a total of $5 million in early-to-mid-stage financial technology companies, with an additional $500,000 in outstanding investment commitments. While not a material driver to our earnings, we have been pleased with the opportunities we have evaluated and in some instances pursued thus far and see further prospects to diversify investments in new and emerging technologies. Total operating expense excluding merger related costs in fiscal 2018 and 2017 was $46.7 million in the third quarter of this year, compared to $42 million in the same period of last year. The year-over-year increase primarily reflects additional compensation costs which are related to hires made to support our national consumer lending initiatives and the pending Crestmark acquisition, and to a lesser degree to support other business line expansions. As we continue to invest to support the growth of our company, we are focused on expense management wherever possible. For example, we are leveraging enhanced efficiencies in tax space as we continue to integrate our tax divisions. Overall, we continue to expect opportunities for improved efficiencies in fiscal 2019 and even more so in fiscal 2020. We believe our third quarter results leave us well-positioned to deliver continued strong financial performance in the fourth fiscal quarter and beyond. With that I'll turn the call back over to Tyler for any closing comments before we take your questions.
J. Tyler Haahr: Thank you, Glen, Mick and Brad for your comments and participation today. I continue to be extremely pleased with Meta’s performance across the Board and the meaningful contributions made by each of our business lines, from our annuity-like and high fee generating tax services and payments businesses to our national lending platform and community banking operations. We are in a very strong financial position with a much more diverse and growing suite of products and services that help – that together help us achieve our vision of financial inclusion for everyone. That concludes our prepared remarks. Brad, Glen and I will be available to answer any questions. Operator, please open the line for any questions.
Operator: Certainly. [Operator Instructions] Our first question comes from Michael Perito with KBW. Your line is now open.
Michael Perito: Good evening guys, thanks for taking the questions.
J. Tyler Haahr: Happy to do it. Good to hear from you Mike.
Michael Perito: I wanted to – may be you just gave a quick update on the Crestmark deal. I appreciate all the color in the prepared remarks. But just curious if you could give us what the latest is on kind of like the good quarterly expense run rate to be assuming gets added in, once the deal closes August 1.
Glen Herrick: Yes, hi Mike this is Glen. I think a good metric would be to use what was disclosed in the merger proxy and the pro forma financials for that along with some growth from those levels.
Michael Perito: Okay.
Glen Herrick: And I would say it's a little hard to pin down today given – there's a fair amount that will be variable growth that will depend on how fast the loan portfolio and the opportunities to continue to grow once the two companies have come together.
Michael Perito: I guess how much of their expense is variable like depending on growth, et cetera?
Glen Herrick: We haven't disclosed that at this point. There's certainly a fair amount of fixed expense, but there are certainly some variable expense that come along with the different collateral classes of loans.
Michael Perito: Okay. And then on the provision, you provided few specific pieces, but I'm just thinking about the whole here, how is it – there's obviously – probably a pretty big step up to where you’ve historically been just because of your Crestmark, right. So I mean how are you guys thinking about the reserve which, I know it moves around a bit and then you have this deal coming on, which is going to, on a percentage basis has lowered even more, at least for next six quarters before season kicks in. But I guess what kind of provisioning – incremental provision rates do you expect on the Crestmark portfolio as it continues to grow?
J. Tyler Haahr: Well the reserve levels now are – what’s that number Glen is it one point?
Glen Herrick: Yes something like that.
J. Tyler Haahr: Yes it's a little over 1% now. And so again the charge-off rates have historically been 57 basis points. I mean than kind of gives you the rationale behind what we expect it to be.
Michael Perito: Okay. And then just one last question from me on net interest income. I think if we go back a year and a half or so, I think, that’s all was that you guys had a balance sheet that was well-positioned for higher rates. To me it still kind of looks like that's the case. But and I really felt the last six quarters or so is hovered in this $29 million to $31 million range. And I guess, I'm curious it has – obviously the prepaid deposit base in some of the loans are all well-positioned, but has the tax business kind of ate away the asset sensitivity of the company, because of all the temporary funding that needs to come on. And I guess is there any expectation for the margin and NII to kind of move up with rates going forward, or is that kind of the reality that we're in at this point?
J. Tyler Haahr: So one of the things you got to reflect back on is the Tax Act. So, because we have the large and muni portfolio, so the NIM this quarter was 3.23%. Without the Tax Act it would have been 3.42%. So the NIM has gone up from where it was last year, again by almost 20, frankly almost 20 basis points if you also factor in two basis points or three basis points because we have more tax loans on the books at the end of the quarter. So if the tax loans are two basis points to three basis points, and then again that the Tax Act itself in round figures is another 21 basis points, 22 basis points, the NIM has actually gone up on an apples-to-apples basis excluding the difference in the tax loans and excluding the Tax Act has gone up from 3.25% to 3.45%. And with Crestmark obviously with the much higher yields, we will have more wholesale funding, but again those are also very short loans in nature. So you saw the yields on the Crestmark portfolio go up from early in the year. So that will continue to drive it up. I will say with our new higher legal lending limit, just like we saw with AFS, we will do some larger deals that probably, frankly larger and higher quality deals that while the stated interest rate will be a little lower than what they're getting on their current deals, the profitability will be roughly the same, because there would be higher quality and lower administrative cost for doing bigger deals instead of smaller deals. But yes we still feel like there's opportunity for NIM to move up. Crestmark will add a lot to that. Frankly the consumer lending that we will do, will add a lot to that. And again both of those are going to be very short term in nature. So when the front end of the curve moves up, it will move up the yields as well as some of the wholesale finding cost. So yes we still think we have opportunity on the margin. And in fact if you compare apples-to-apples, year-over-year we are up 20 basis points on the NIM.
Michael Perito: Great, and as to the Crestmark deal, I mean it's still probably – I'm sure it moves around a bit. But somewhere north of 100 bips, it's all going to add to the margin once you get a full quarter’s worth in theirs, is that still kind of a decent number to be thinking about?
Glen Herrick: That's correct Mike.
Michael Perito: Okay, alright, thank you guys for taking my questions.
Glen Herrick: Thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from Steve Moss with B. Riley FBR. Your line is now open.
Steve Moss: Good afternoon guys.
Glen Herrick: Good afternoon, Steve.
Steve Moss: On the Crestmark acquisition here just want to check loan balances kind of looks like it's about to close to $1.1 billion, if my math is correct for balance as of June 30?
Glen Herrick: Yes, that's correct, it was $1.065 billion.
Steve Moss: Okay. So obviously growth has been strong, could just talk a little bit about the growth you're seeing there and how sustainable that is going forward, or will it slow down a little bit?
J. Tyler Haahr: Yes, we put some guidance out there when we did the acquisition with the assumptions on the growth rates. We're very comfortable, as I said on the call, with the assumptions that we put in there both with respect to the cost saves, the growth rates. We're not prepared to put higher numbers out there, but you're correct they had a good first six months to the year.
Steve Moss: Okay, sounds good. And then with regard to the cost saves that you plan on in the tax business, could just you go into a little further maybe get some quantum timing on that?
J. Tyler Haahr: Yes sure Steve. I think we've been talking about, actually since we've acquired the various tax divisions that our first call was to make sure they operate it smoothly through the upcoming tax seasons, given the once you get a shot at these businesses. But we also talked about we saw synergies in the future from combining platforms and technologies, how we go-to-market strategies, all the things you might consider around synergy. That's said, we're not yet prepared to provide guidance on specific numbers that will fall out of there, but I hope to provide additional guidance or updates on that in our next quarterly conference call.
Steve Moss: Okay, and then on the asset-backed loan that was disclosed in the press release, just kind of wondering what is the type of receivables that's being secured there and duration if you cover there?
J. Tyler Haahr: Yes, short term consumer loan.
Steve Moss: Yes, what loan?
J. Tyler Haahr: Yes what loan to value, and [indiscernible]?
Steve Moss: It's going to be I guess it’s an going business will be hanging around for hopefully a longer period time then, is that a fair way, or is it just literally for the quarter kind of like timing?
J. Tyler Haahr: No, it’s I mean we're viewing this frankly as a way to enhance earnings while we are building up the existing portfolio of consumer loans. So again we’ve talked about another program, another consumer lending program that we are going to be implementing this year. And so there are those upfront costs, we talked about that last quarter $800,000 or $1 million as a proxy for the first three. And again presumably something close to that for the one that we're announcing today. So while we have the pilot program and the ramp up, by putting that portfolio which is again very well secured, significant credit enhancements, and again we’ve the first out deal, it puts earning – significantly higher earning assets than securities on the books, in essence to offset some of that start-up cost associated with the Consumer Lending portfolios as those consent you to go up, we will continue – that portfolio will continue to try it over time. And it doesn't mean there might not be other portfolio opportunities that we might have, as well. But that individual portfolio was a portfolio purchase again that at this point is $65 million. And again by buying that portfolio, or potentially the other portfolios again that would be something that would give us balance sheet flexibility as well.
Steve Moss: Okay, thank you very much.
Operator: Thank you. And I'm showing no further questions in the queue at this time. And this concludes the question-and-answer session. I would now turn the call back to CEO, Tyler Haahr.
J. Tyler Haahr: Thank you. And thank you everyone who participated in Meta's quarterly investor call today. We're hard at work to deliver a strong finish to our 2018 fiscal year, including the close of our transformational acquisition of Crestmark in just a short while. I look forward to updating you again on our October investor call. Thank you again and have a great evening.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude your program and you may all disconnect. Everyone have a great day.